Operator: Ladies and gentlemen, welcome to the Alstom Conference Call presenting its First Quarter Order and Sales for the Fiscal Year 2015/2016. I will now hand over to Patrick Kron, Chairman and CEO. Sir, please go ahead.
Patrick Kron: Thank you very much and good morning ladies and gentlemen. Welcome to this conference call on order and sales for the first quarter of our current fiscal year 2015/2016, I am talking about the numbers from the first of April till the end of June 2015. We published this morning, the press release, which gives you figures by geography. If I look at this quarter, we booked good level of orders in our transport activity with orders at €2 billion. They are obviously below last year's Q1, which at €4.8 billion, included €4 billion for our South African jumbo contract. The main commercial successes this quarter included maintenance of Kazakh locomotives, locomotives in Azerbaijan, as well as a signaling system in Hong Kong, but a good level of small to mid-size contracts. Looking into sales, they are up 8% at €1.6 billion and this represents growth of 3% organically. But is to be compared to the first quarter for 2014/2015, which itself was up 16% versus the previous year. This led to strong book-to-bill once again at 1.2. The sales growth was mainly fueled by deliveries in regional and suburban trains in France, regional trains in Italy and Germany, as well as maintenance of high speed trains in the U.K. So all in all, my view is that the first quarter shows a good start of the year. Just a couple of words on our project with General Electric, which is moving ahead, following the shareholder's approval last December. The process is, as you all know, now, focused on competition and regulatory authorizations which are ongoing. We have obtained unconditional clearance in majority of jurisdictions including a number of large countries, notably Brazil, India, South Africa or China. This is ongoing in the other remaining ones, and we give our strong confidence for closing in the upcoming months. Concerning the outlook, our medium term outlook is confirmed, and this is more or less, what I wanted to tell you in summary, following the publication this morning. I suggest we now switch to the Q&A. I am now at your disposition to answer any question, as well as Jean Jacques Morin, our CFO.
Operator: [Operator Instructions]. We have a first question from Fredric Stahl, UBS. Please go ahead, sir.
Fredric Stahl: Good morning Patrick. It’s Frederic here from UBS.
Patrick Kron: Good morning.
Fredric Stahl: Good morning. I just wanted to hear, if you could give us a comment on what the tendering activity is like in Europe right now? And then if you don't mind, if you can walk around the world, if you can just say where you find the most activity at this point globally? Thank you.
Patrick Kron: Look, I am not going to go in many detail, as far as the tendering activity is concerned. We tried to comment on orders, rather than potential orders. Again, I think the pipeline is okay. There has not been, over the quarter, any fundamental change compared to what I said previously. And again, we have had a good start to the year in terms of orders. We have a big backlog, as we talk. So obviously, I just don't comment on tender activities. We see good dynamism in a number of areas, Southeast Asia being one, Middle East as well. But I won't go in more details, as you may accept, Fredric.
Fredric Stahl: Thank you very much.
Operator: Thank you very much. [Operator Instructions].
Patrick Kron: I either take that as a lack of interest, or as a very comprehensive review, very comprehensive presentation I made. So if there are no other questions, I would thank you for your attention. And I would like to take the opportunity of this conference call to tell you that Delphine, after a number of years with us, will go and look for opportunities outside of our company. So therefore, this is expected to be her last call with you, and I want to thank her for what she has done for us in some periods, which have not always been extremely easy. And I would welcome Selma and Delphine's colleague Perrine, whose name are mentioned in the press release, who are going to take over and will have the privilege of assisting JJ and me for the upcoming period. So there will be changing voices, but still a full support of our shareholders. Delphine, thank you again, and thank you all of you for the attention. Thank you very much and obviously, don't hesitate to ask as many questions as you want to Delphine, because she is still there for the coming week. So don't hesitate. Thank you very much.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you all for your participation. You may now disconnect.